Operator: Good afternoon ladies and gentlemen and welcome to the iCAD Incorporated Third Quarter 2022 Earnings Call. At this time all participants have been placed on a Listen Only mode and the floor will be open for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host is Linnell Faber Executive Assistant to the Chief Executive Officer, and I know the floor is yours.
Linnell Faber: Thank you, operator. Good afternoon, everyone. Thank you for joining us today for iCAD third quarter 2022 earnings conference call on the call today we have Stacey Stevens, our President and Chief Executive Officer and Steve Sarno, our Interim Chief Financial Officer. Before turning the call over to Stacy, I would like to remind everyone that we will be making forward looking statements on the call today. These forward looking statements are based on iCAD current expectation and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations. For a list of factors that could cause actual results to differ, please see today's press release in our filings with the US Securities and Exchange Commission. I can undertake no obligation to revise or update any statements to reflect events or circumstances after the date of this conference call. I would also note that management will refer to certain non GAAP financial measures. Management believes that these measures provide meaningful information for investors and reflect the way they view the operating performance of the company. You can find a reconciliation of our GAAP to non GAAP measures at the end of the earnings release. With that, I'll turn the call over to Stacy.
Stacey Stevens: Thank you, Eleanor and good afternoon, everyone. As we close out another quarter and look ahead towards 2023. I continue to be optimistic about the company and its prospects with a portfolio of market leading first unchain technologies. We are addressing significant unmet needs in global health. And I am confident that we are taking the right steps and that we are building the right team to ensure continued growth for the company and create additional shareholder value. That said, this is a transformational time for us in many ways. As we shift our business towards even more sustainable future driven models of business that are positioned to propel our company to new heights. In the last quarter, we have continued to make significant strides to ensure we meet and exceed our desired endpoints. Looking at the detection side of the business, I had breast AI suite remains the only complete AI solution for breast cancer detection, density evaluation and risk assessment solution available on the market today. And we continue to see this world leading technology as the ultimate value driver for the company with strong competitive differentiation and a superior value proposition, particularly when it comes to efficiency, performance and workflow benefits. underlying demand for our technology remained strong. But more importantly, our solutions continue to have a positive impact on patient lives. And we believe they will, over time become standard of care. As we continue to assess future opportunities for our business, evolving customer needs and our existing operations. It is clear that things will look different going forward and this has necessitated several meaningful changes and how iCAD does business. The first is to optimize our operational model to better address our largest opportunities in the most effective and efficient manner. To that end, we are implementing major changes, one of which involves shifting to a more partnership focused go to market approach. As an example of this is our new relationship with the largest radiology practice in the United States radiology partners, which we announced this afternoon. I will discuss the rationale and benefits of this partnership in more detail later on the call. But we are very excited by the initial order we receive this month that allows access to our technology to hundreds of 1000s of patients as well as the developing potential of this new relationship. Another major change is our ongoing transition to a subscription software model. This model offers a number of benefits for the company and our customers as it offers an accelerated way for customers to adopt, deploy and scale our technologies with significantly lower upfront costs compared to a one time license sale. The subscription model also offers customers the ability to add new functionalities more easily than in a one-time license sale model and without costly capital outlays. This model not only drives significant long term work current revenue opportunities for the company, we believe that can generate at least twice the amount of revenue per customer over five years, compared to the one time perpetual model. We have also seen a marked increase in customer demand in this more flexible model with more subscriptions sold in Q3 than in the entire first half of 2022. And no subscription we have ever booked has ever been canceled. This validates our decision to move to this model and offers tangible proof of the strength of the underlying demand for our AI technology. However, as previously mentioned, measuring subscription revenue in the near term poses a unique reporting challenge as the revenue it generates is recognized over time. Therefore, based on your feedback, and in order to help our investment community better measure and follow the success of our transition, we are introducing a new metric subscription annual recurring revenue or s AR. At its most basic s AR for a given subscription is the amount of recurring annual revenue that the subscription is expected to generate. We will further explain the specific s AR financial metric shortly. As part of the transition to this new model, we are proactively aligning our cost structure to better match the revenue trajectory of these subscriptions and other anticipated recurring revenue models. To that end, we have proactively taken out over $3 million dollars in annualized expenses, while maintaining investments in key growth initiatives on a go forward basis. We believe that as we evolve to a more efficient partner focused approach, this will ultimately enable a lower cost structure for the company. Very importantly, I want to stress that based on our strategic plan, and including these cost reduction effort, we do not have any plans to raise additional equity or debt at this time. Turning now to the third quarter, the environment continued to be overshadowed by macro factors continuing to impact and delay capital budgets, such as high inflation, rising interest rates, supply chain issues, for some gantry manufacturers, and the associated concerns brought about by these issues. In addition, there are ongoing customer challenges with regard to staffing. This environment was fairly consistent with what we've seen so far this year. In fact, at least two major health systems have expressed a strong desire to acquire our AI solutions, but full capital budget freezes are causing delays to their purchase plans. It is this overall economic climate, along with the sharp rise in the number of subscriptions versus capital licenses that contributed to our reported 6.4 million in total revenue. We are working diligently to mitigate these impacts via a heightened focus on subscription sales to drive long term recurring revenue, companywide expense reductions, and the expansion of strategic partnerships and enterprise deals, such as with radiology partners, we expect to announce additional key partnerships in the near term. Taking a closer look at the detection business. Total detection revenue in the third quarter was $4.4 million, down 27% year over year. Although this quarter is particularly challenging to compare, as Q3 of 2021 had not only multiple significant enterprise deals, but also a large inventory bulk purchase from one of our OEM partners. As previously mentioned, demand for our breast AI solutions remained strong, as evidenced by the growth and success of the subscriptions. In fact, further accelerating subscription sales is assisting us in overcoming several macro and capital budget challenges due to the favorable economics for the customer while also enabling us to further penetrate key enterprise customers. We have also made great progress and expanding our strategic partnerships across the industry, including today's announcement of our developing nationwide agreement and first order with radiology partners, the largest radiology practice in the US nationally recognized for their clinical leadership in mammography. Radiology partners provides mammography services to millions of women per year across more than 3000 facilities, including the top 10 largest health systems in the country, making them an exceptional partner. This collaboration is expected to solidify Ikats position as radiology partners provider of breast AI solutions and will leverage radiology partners clinical expertise scale and leadership position to expand access to iCAD breast AI suite to potentially 1000s of physicians and millions of patients. I can technology can be deployed to the radiology partners network via RP cloud, significantly increasing the potential for adoption across their network of practices and unleashing the ability to improve mammography screening from Millions of women across the country. This type of strategic relationship is a prime example of our more targeted and efficient go to market approach. We expect to explore similar partnerships in the future to further broaden access to iCAD breast AI suite. Last quarter, we also announced an exciting partnership with solace mammography, the largest independent provider of breast screening and diagnostic services in the US. This multi-year strategic research and commercial collaboration is expected to result in a powerful AI solution that will quantify the presence of breast arterial calcifications in a mammogram to assess the risk of cardiovascular disease. with heart disease being the number one killer among women in the US. This collaboration not only offers the potential to address a significant unmet need in patient care, but also to penetrate a sizable new market. Given that approximately 14 million women are screened in the US annually. The evaluation of breast arterial calcifications at the time of breast cancer screening could be a simple and efficient way to screen millions of women at risk for heart disease each year is part of an overall preventative care strategy. iCAD and Phyllis have worked closely together over the last two years in the fight against breast cancer through the application of our breast AI suite across Solis is more than 100 locations. And we look forward to working with their exceptional team to expand on our shared mission and take on one of the greatest threats to women's health. In order to better support the expected expansion of the detection business. We are taking bolder steps to optimize our commercial team, particularly in the United States. As we have reported in previous quarters, we have been working to strengthen our organization throughout the year with new skill sets, we believe are crucial to achieving our goals in the future. We have gone a step further and are now in the final stages are bringing on a new commercial leader for the detection business, who will focus exclusively on driving sales in the United States of our breast AI suite. We believe this decision will enable greater focus and execution on our growing pipeline of opportunities as we move forward. Now turning to our therapy business, total third quarter therapy revenue was $2 million. Similar to Q1, the results were impacted by the slower than expected ramp of one of our partners as they conducted a second financing round, as well as our own decision to stop taking additional orders from partners with aging accounts receivable. There continues to be strong underlying customer demand from dermatologists and we are working to bring at least one new partner on which we expect to improve results in this segment in Q4. In terms of other application areas, we continue to progress our brain clinical study and expect to see early positive report on the safety and feasibility of the treatment to date presented at the upcoming Society of neuro oncology annual meeting later this month. We also have new updated data with longer patient follow up for both our breast and skin applications, both of which have been submitted for publication and peer reviewed journals and for presentation at major upcoming industry events. I am also pleased to report that the Steve Biko academic Hospital in Pretoria South Africa recently became the first site in Africa to offer GYN treatments with soft gynecological cancers are some of the most common cancers among women worldwide. But Africa represents 20% of the world's new cervical cancers each year, and cervical cancer is the most common cancer in South Africa. Due to its small footprint, mobility benefits and low energy high dose treatment. This off system is particularly well suited to address these health challenges. So in conclusion, we made significant strides over the last quarter that will continue to yield benefits in the months and years ahead. We know that there continues to be strong demand for our AI technology, especially as indicated by strong interest in the subscription offering. We are demonstrating success in the transition to subscription as evidenced by the growth in ARR and booked ARR including backlogs. We are proactively aligning our cost structure to better match the flow of business. And importantly, market leaders such as radiology partners and soloists are providing us with an efficient path to market while also demonstrating their belief in our capabilities and future as they expand more of their business on ikat technology. While the near term reported results are not ideal. I believe that these encouraging data points are indicators that we are making the right changes and that ikat is correctly positioning itself for success moving forward. With that I will turn the call over to Steve for a detailed review of our Q3 financials.
Steve Sarno: Thank you Stacey and good afternoon to all of you all now summarize our financial results for the third quarter ended September 30 of 2022. On a US GAAP basis, our total revenues for the quarter was $6.4 million decline of 32% from $9.4 million in the third quarter of 2021. Product Revenue was 3.2 million, down 49% from $6.3 million a year ago. Revenue from services and supplies was 3.1 million, up 4% from $3 million in Q3 of last year. As Stacey mentioned earlier, we believe that concerns regarding recessionary fears higher inflation and rising interest rates, along with tighter capital budgets have all had an impact on our business. In addition, there was some business specific factors such as the growth of subscriptions that also impacted the comparison of our year over year results. Moving to our detection segment, our detection segment revenue in Q3 was $4.4 million, down 27% from $6 million in Q3 a year ago. Within detection, Q3 product revenue was $2.5 million dollars down 43% from $4.5 million a year ago, detection service revenue was $1.8 million, up 17% from $1.6 billion a year ago. We believe that the current macro-economic headwinds pressure on customer budgets, and continued supply shortages impacting gantry sales, as well as our moving a greater portion of our sales to subscription revenue, and a large bulk inventory purchase one of our OEM partners in Q3 of 2021. We're all contributing factors in the decrease in our year over year detection revenues. In regards to our move towards subscription revenue. We are providing a new metric subscription annual recurring revenue, or as ARR to help measure our progress. Subscription ARR is a metric used by management to measure the growth of its recurring revenue from subscription transactions without detection business customers, we have two versions of this metric. The first is subscription ARR from installed subscriptions that are earning revenue from as of the last month of the reporting period. To calculate this metric. The most recent calendar month's revenue earned is multiplied by 12 months to provide us with an estimate of revenue that will be earned from our installed subscription customers. Over the next 12 months. I subscription ARR from installed customers was $161,000 as of the end of Q3 the second version of our subscription ARR metric is subscription ARR from book subscription agreements, which is calculated by multiplying the monthly revenue that will be earned by all booked subscription agreements once they are installed times 12 months. Please note that subscription agreements that are booked by each month and typically take six to eight weeks to be installed at our customers locations, subscription ARR from booked subscription agreements as of the end of Q3 was $530,000. The difference of $369,000 between these two metrics represents subscription agreements that were bought at the end of Q3 committed not yet been installed. In fact, none of the subscription deals booked in Q3 have been installed or recognized as revenue in Q3. We expect all of these Q3 booked, but not yet installed arrangements to be installed by the end of 2022. This is a good indicator of the early success of the subscription offering in demonstrates accumulative revenue can grow very rapidly in this model. Please note that each of these ARR metrics represents an estimate of future revenue over the next 12 months as our subscription contracts allow for cancellation by our customers with 30 days’ notice. To date, we have not experienced any cancellations, and we expect very low churn on these subscriptions. AR should be viewed independently of revenue, and does not represent our revenue under US GAAP on an annualized basis, as it is an operating metrics that can be impacted by contract start dates, and dates, cancellations and renewal rates. AR is not intended to be replacement for forecast of revenue moving towards that repeat segment. Q3 therapy revenue was $2 million dollars down 40% from $3.4 million in Q3 of 2021. Within the therapy revenues, Product Revenue was $671,000 down 64% from 1.9 A million dollars in Q3 of 2021. While revenue earned from service and supplies were $1.3 million, down 11% from $1.5 million in Q3 of 2021. Moving to a discussion of our consolidated gross profits and gross margins, gross profit in Q3 was $4.4 million, down 35% from $6.7 million a year ago. The lower gross profit this quarter was primarily due to the reduction in revenue as previously discussed. Gross profit margin for the third quarter of 2022 was 69% versus 72% in Q3 of last year. The reduction in the overall margin was primarily driven by the decrease in gross margins in our therapy business. That was partially offset by a slight increase in our detection business gross margin percentage. Moving to operating expenses, our Q3 operating expenses were $8.3 million, down 6% from $8.9 million in Q3 a year ago. The decrease in operating expenses was primarily due to a reduction in our headcount, as we chose not to backfill some positions that turned over our Q3 operating loss was $4 million, representing an increased loss of 1.8 million, compared to $2.2 million loss in Q3 of 2021. Our increased loss was primarily a result of lower revenues partially offset by the reduction in our operating expenses. Our GAAP net loss for the third quarter of 2022 was $3.9 million, or loss of 15 cents per basic and diluted share. On a non GAAP basis, our net loss for Q3 was $3.9 million, or a loss of 15 cents per basic and diluted share. Our Q3 non GAAP adjusted EBIT dot this quarter was a loss of $3.4 million versus $1.4 million in Q3 a year ago. Moving to the balance sheet. As of September 30 2022, we had outstanding receivables of $8.5 million, versus $10.2 million, as of June 30 2020, to the $1.7 million reduction in our outstanding receivables is attributable to $1.2 million of lower revenues in the half million dollars of stronger collections. In some instances, our focus on collecting past due balances in the quality of our receivables has resulted in lower sales, particularly in our therapy business, which has some distributors that are still not as financially healthy as they were prior to COVID 19. Moving to inventory, our net inventory as of September 30 2022, was $5.6 million, a point $6 million from June 30 2022 and 3.3 million as of September 30 2021. Due to lower sales and higher inventory purchases that were made in Q4 of last year in reaction to the supply shortages that existed, and delivery of those purchases have been received throughout 2022. As we move towards next year, we expect to reduce our inventory levels closer to their historical levels. Moving to cash as of September 30 2022, we had cash and cash equivalents of $24.6 million, a decrease of $2.6 million compared to cash and cash equivalents of 27 point 2 million as of June 30 2022 and 35 point 8 million as of September 30 of 2021. cash and cash equivalents used during the third quarter was $2.6 million, or $2.6 million of cash usage was the result of $2.7 million used in operations and point $1 million used for capex partially offset by point $2 million provided from financing inflows primarily related to the exercise of employee stock options. During Q3 into Q4. We have been working to reduce our spending in reaction to our evolving business model that Stacy discussed earlier, and have reduced our annual expenses on a go forward basis in excess of $3 million. The majority of this reduction in spending has come from reducing our headcount both through not backfilling open positions and by reduction in force that we took last week. Through these actions we have reduced our headcount approximately 17% from the beginning of the year. We are also taking a charge of about $125,000 in the fourth quarter of 2022. Associated with three reduction in force. Because the majority of these actions were taking during Q4, we would expect to see only a slight reduction in Q4 Cash burn, and then receive the full benefit beginning in Q1 of 2023. This concludes the financial highlights portion of our presentation. And I would now like to turn the call back over to the operator to lead us through the Q&A.
Operator: [Operator Instructions] Your first question is coming from Per Ostlund of Craig Hallum Capital. Your line is life.
Per Ostlund: Thank you. Good afternoon, Stacey and Steve. Let's start with radiology partners. That's obviously a that looks like a signature win for you. And I guess I just want to start with a little bit of maybe the backstory there. Was there had had they been a customer to any extent before was this something you see as a competitive win or a competitive takeaway? And I guess let's pair that with the solace agreement from not too long ago as well that that expansion, how critical to you know, sizable, notable partners like these two? Is the fact that you have a suite of products that you can go out with and have that have those partners not have to piecemeal it across vendors.
Stacey Stevens: Right. Yeah, thanks for that pair. So let me give you a little bit of background on the radiology partners relationship. And we're obviously incredibly excited about the initial order we've received in the future, you know, potential prospects for this relationship, just to kind of put it in perspective from kind of a size and scale perspective. Radiology partners today controls the imaging or the reading of images for a total of around 50 million imaging exams. And that's kind of across all of modalities. And for 22 million patients in the United States. Today, they control the mammography and mammography services for about 3 million of the total US mammogram. So it's close to 10% of the US mammography market. They have 3000 radiologists. And they serve 3000 sites with imaging services or in their own practice locations of which there are about 131. They have coverage in all 50 states, they have onsite practices in 35 states. And they're currently serving 17 of the 20 largest health systems in the United States. So obviously, sort of much bigger scope and scale than anything else, that company, you know has ever announced or any other relationship in the company. How this came about, we do have some products in some of the radiology partner sites today. That's kind of how it got started. And this was a competitive win for us. Yeah, we're clearly going to be looking forward to see the impact of that agreement. It's not it's not hard when you see the 3000 3000 locations, and then you see, you know, other wins that I think are legitimate wins very meaningful wins. 3000 kind of dwarfs that I think to some degree, I think it's important to understand that no revenue has been recognized from this order yet. The great thing about this initial order is that it is a recurring revenue model structure that is expected to build over time. It's not a subscription model, but rather mammography per exam pricing model, and the implementation will be primarily on their internal cloud infrastructure. So super exciting from that standpoint as well in that it will overtime contribute to our newly unleashed subscription ARR metric.
Per Ostlund: Absolutely. Is it fair to say that radiology partners is taking your entire suite or are they focused predominantly on profound AI and perhaps risk at this point?
Steve Sarno: The entire suite is part of this deal. Fantastic. So you mentioned in your in your prepared remarks and in the release that you sold more subscription And then Q3, then the first six months. And I think we were all starting to understand. And we'll continue to better understand the machinations of the revenue recognition aspect of that. But is it fair to say, given where, you know, numbers kind of came in for Q3, if you sold more subscriptions in Q3 than the first six months of the year, that maybe this shift is turned into something, dare I say, a little more profound than you thought it might be? You know, six 912 months ago? Yeah, great use of the brand, first of all. And absolutely, we do see this accelerating a bit faster. And part of that is increasing customer demand for the model. And frankly, part of that is that we are positioning this a greater amount of the time, right, as a better way to accelerate, you know, winning business in what still is a challenging market, you know, environmental, having said that, you know, it's a new model, and we expect there to be some, you know, choppiness to it for a period of time. But overall, we are positioning that positioning this as our model of choice. And if you look at the long term recurring revenue that it generates, as I mentioned, in the script over a five year period, we believe that it can generate at least twice the revenue, right. So this is a great model for the company, and challenging optics, in reporting in the short term, obviously, when it comes to revenue, but we really believe this is the model for the future and the model that can really build the growth of this company going forward.
Per Ostlund: Understood, maybe. Last one, just to dovetail off of that, Stacy. So with the introduction of the SAR metric, and we'll see that unfold over time, you also did mention backlog in your prepared remarks, too. And at the risk of introducing metric overload is that is that something that's somewhat quantifiable as well, you know, backlog as opposed to, you know, more generic pipeline, if you will? Or is that something that it's probably best for none of us to really focus on at this point?
Stacey Stevens: Hey, Pierre, Steve. So no, no, that is a, you know, a metric that we can we can measure is, as we've said, The, there's two flavors of this. The first is based on what's been installed. So you know, think of that as contracted and installed and generating revenue in the most recent month. And we take that, that amount and multiply it by 12. The other metric is contracted, but not yet installed, because there's a six to eight week delay in in having it installed. So you know, that that's an amount that we, you know, reasonably believe would flow in over the, you know, over the over the fourth quarter, so that that first metric is, you know, 161,000. And then once everything from Q3 is installed, that would that would jump it up to about 530,000 of ARR. That helped very good.
Per Ostlund: Yes, absolutely. Absolutely. Thanks for the caller and for the answers to the other questions as well. Sure.
Operator: Thank you very much. Your next question is coming from [indiscernible]. Your line is live.
Unidentified Analyst: A good afternoon. This is Sam live. We're on for Murray. Thanks for taking the questions here. Maybe I can ask my first question on any more callers for civics, you can give on how the new commercial team is set up here. And the new partnership strategy. You mentioned, you're evaluating others. So any more details you can give on someone's behind the scenes work there and maybe how the different approach, you know is expected to leverage growth going forward.
Stacey Stevens: Sure. Sure, Sam. So first off regarding the commercial setup, we are moving to a bit of an organizational structure prior to this, our commercial team has sort of been combined into one organization. So both are often and detection business under one leader. And it's also been led kind of at the global level, we really felt that we needed to bring greater focus on execution in particularly in the United States specific to the detection business. So we are moving to a structure bringing on a new national leader for the detection business, we're in the very final stages of doing that. And that person will be much closer to the day to day execution of the sales opportunities, sales force with the customers and we think that that should be able to have a positive impact on our success. And that geography. Think you have a second question. What was the second question?
Unidentified Analyst: Just more on the partnerships and how you maybe the new team is evaluating some of potential new ones coming forward?
Stacey Stevens: Yeah. So, you know, we are, as I said, in the script, moving to a model, where we're sort of investing in this, in what I would call deeper levels of relationships with key partners and collaborators in the market where it's really more than just a transaction, right. So it could include joint product development opportunities, like what we're doing with solace, clinical data sharing, Kol input, clinical trial and study work, and even some elements of distribution and sales of the product that can complement our own sales team. So there, it's a little bit different way of going to market and a more partnership oriented model, with some deeper level of investment in a number of partners, relative to kind of the traditional way of knocking on the door of every hospital and radiology clinic. And we think that this is a better model for the future to help us scale quicker, and also to enable us to have ultimately a lower cost structure for the company as well.
Unidentified Analyst: Okay, very good. That thanks for the added detail there, and maybe just as a follow up, you know, anything, you know, we can get on potential mix of subscription versus perpetual, this quarter. And maybe how you're expecting it to shift going forward, I know, we're still expecting a shift to some degree in I know, potentially, maybe a faster acceleration here. But, you know, is this something we're expecting 7525 subscription of perpetual, you know, in Q4, or, you know, any ballpark ranges we can get there.
Stacey Stevens: Sure. So when you talk about, you know, mixed with the business, it's a little complicated in that, you know, when you recognize a perpetual license, you know, a perpetual sale, you're taking 100% of that revenue, basically, upfront, except for maybe a carve out on the maintenance piece, on a, you know, on a subscription sale, once you make that sale is first, there's a six to eight week lag, before you can even get it installed. And then it begins to recognize revenue, and it's recognizing, you know, basically on a daily or a monthly basis. So the amount of revenue that you get in any, you know, particular month or quarter is, you know, a fraction of what you would have on the perpetual so you look at MCs, that way on a, you know, GAAP recognized revenue basis, you know, it's, it's going to be, you know, very small. And take time, as you know, we've just begun selling those, when you look at it, though, on a where's your Where are you, you know, when you book these things, you'd see that, you know, the percentage there is, is, you know, quite a bit, you know, quite a bit higher and growing into, it's more in the, you know, 25 to 30% plus range of you know what we're actually booking. Great, thanks for taking the questions.
Unidentified Analyst: Sure, Sam, thanks.
Operator: Thank you very much. Your next question is coming from Frank [ph] Lake Street Capital.
Unidentified Analyst: Hey, thanks for taking my questions. Maybe to start with one on radiology partners, was hoping you could just help us frame how many as the we'll call it, the low hanging fruit opportunity for this partner. And maybe it's helpful if you can share things along the lines of how many [indiscernible] they have installed network wide or other fingers like that to kind of gauge what the overarching opportunity is, within that partner.
Stacey Stevens: Sure, yeah. Thanks for that, Frank. Just to kind of put it in perspective. Radiology partners, both owns their own imaging centers of which there are approximately 130 in the United States, and then they provide mammography reading services for 1000s of sites across the country. I don't actually know how many total gantries that that represents, obviously, a very large number, but it's kind of a hybrid model, right, between owned and, and serviced accounts for the initial order that they have now given us, you know, again, that is a per exam type model that will enable them to use our technology to, you know, read hundreds of 1000s of mammograms. And, you know, if you if you think sort of about the total opportunity going forward, as I mentioned earlier, between what they own and what they service, it's about 3 million total mammograms.
Unidentified Analyst: Okay, that's helpful. And then maybe staying with radiology partners. I'm assuming it's an exclusive partner, but maybe just speak to that whether or not they're working with any other AI technology. And then I heard your comment on it was a competitive win. So maybe speak to the primary reasons. Radiology chose ikat other wood over other competitors.
Stacey Stevens: Sure. I mean, there's lots of ways to talk about exclusivity both ways, right. And we're not able to disclose the details about that, at this time, relative to the competitive win. I think it was really a combination of factors and not too dissimilar from the reasons why we win in the marketplace versus competitors, not only the performance of our product, but even increasingly, so we're finding that the piece of the value proposition that is being amplified right now is the workflow and efficiency and productivity gains that can be had from profound AI, you know, again, given their scope and scale, right, the ability to sort of streamline and make more efficient, the reading of mammograms is an important factor, along with connectivity and interoperability factors. So we believe those were the primary reasons why we're able to, you know, come out with this collaboration.
Unidentified Analyst: Okay, great. And then maybe one on the last one on the cost saving side? Where should we expect those savings to be most predominant when you're looking at 2023?
Stacey Stevens: Really, throughout operating expenses, that's the, you know, the primary area that that's coming out of, it's kind of spread evenly across the board.
Unidentified Analyst: Okay, that's helpful. I'll stop there. And thanks, and congrats on all the progress.
Stacey Stevens: Thanks so much, Frank.
Operator: [Operator Instructions] Our next question is coming from Francois Brisebois from Oppenheimer. Francoise, your line is life.
Francois Brisebois: Alright, thanks for taking the questions. Just a couple of here, the 17%. headcount kind of cut, can you just maybe talk a little bit more about, you know, who these people were? Was it more sales was that kind of back office, you just disclosed a little more about that count, and where it came from?
Stacey Stevens: Yeah, it was, it was definitely more of, you know, in the in the back office, part of the, you know, of the business, you know, looking for efficiencies, ways to, you know, consolidate, do things better. We also have some, some new, you know, internal systems that are coming online, you know, probably over the next one to three months, that are, you know, helping to make that possible as well.
Francois Brisebois: Okay, thank you. And then in terms of the capital model, or versus subscription, do you have clients that maybe were under contract or just used to it a certain way, were just trying to gauge this, this institution seems to be moving maybe faster than anticipated? At the same time? Do you have a base of large clients that are happy with the capital model and do not want to move?
Stacey Stevens: Yeah, we do. You know, they're still the capital model today is still the predominant way we're doing business, although it's obviously evolving and changing, you know, rapidly here, but there are still a number of customers, for example, all of our existing OEM agreements, right, that we have with the imaging company manufacturers, right, those are still for perpetual capital purchases, right. And we don't see that changing in the immediate future. And there are still a segment of the market that is actually preferring to have on prem hardware, right, and prefers to buy in a license model. Right. I think that will continue to change over time. But I think for you know, you know, a fair degree longer period that we're still going to see a portion of our business that will be in that model. Yeah, no, I would, I would just add, it's not really a model that that's cannibalizing. What we have today, what it's doing is it's really expanding our market opportunity to allow us to get to, you know, to customers, who, you know, don't want to buy perpetual, in otherwise, you know, might have gone to a competitor. So it's expanding, we've had maybe, you know, only, you know, a small handful of customers that have changed from perpetual to subscription. This is this is mostly new customers that we otherwise may not have won.
Francois Brisebois: Okay, that's interesting. And obviously, I understand the issue with comparing, you know, subscription to capital licenses just based on the revenue recognition, the six, eight weeks and then obviously less of an upfront but when you mentioned there on someone else's question that 25 to 30% in terms of accounts that are that that 25 to 30% that are about I assume subscription at this point. Look at kind of peak performance, I guess, or peak, you know, penetration that you'd want to do is would it be like a 55th year ultimately, based on the fact that within five years, you can double the opportunity with the goal to be to completely move to subscription?
Steve Sarno: Yeah, Stacey mentioned, we do have a number of OEM partners and others that, you know, probably would not move to subscription, at least not anytime, in the short term. So, you know, we kind of see this as, you know, being over 50% At some point, but, you know, where to ultimately end up, you know, remains to be seen, but we've kind of modelled that, I would say, you know, that 50 60% range.
Francois Brisebois: Okay. So you'd be almost halfway there already?
Steve Sarno: Well, yeah, except, you know, it's the beginning, right. And it can be, you know, it can be choppy, and you know, it is a matter of you know, last time we spoke, we kind of spoke about license counts, and we kind of find that, you know, a tough way to measure. And the ARR is definitely a better way or looking at it from a customer perspective. So it's when you say we're there, you know, it's of the business, we won this quarter. Right. So that's, you know, of the business we had this quarter, it's not where we are overall, a little bit of two different ways of thinking about it.
Francois Brisebois: Okay, great. Well, thank you very much. Thanks.
Operator: Thank you. Your next question is coming from Per Ostlund from Craig Hallum Capital. Per, your line is live.
Per Ostlund: Thank you. One of the circle back to the GLIAC trial, since we didn't really talk about it a lot in the remarks. But since you did mention, that it's, you know, could get some measure of airtime here at the Society for Neuro oncology. I believe that's, as soon as next week. If, if I remember correctly, can you let us know kind of where the enrollment stands on the trial? And then, you know, this discussion at the conference? What form is that going to take? Are we to the point where I mean, is this is this kind of poster ready type stuff? Or is it really preliminary? And it's going to just kind of find its way into discussions, you know, sort of ad hoc almost as much as anything at the conference? Right?
Stacey Stevens: Yeah, thanks for it is actually a formal poster presentation at the event. However, it is not a recurrence rate presentation, right. It is a sort of safety, feasibility type presentation, it's still a bit too early to have enough patients who have enough follow up to really have a recurrence rate type presentation. So this is really sort of an initial study looking at, you know, how well does this treatment work? Or what are some of the technical aspects? How feasible is it? So it's more along those lines? So but it is a formal presentation at that meeting.
Per Ostlund: Okay, and on the enrollment side, can you get into that or not?
Stacey Stevens: Yeah, I mean, the enrollment, you know, is still going, you know, a little bit slower than what we would have expected, I will say that we're treating a fair degree of brain pant patients, right, but not necessarily ones that are meet the criteria or end up being enrolled in the Glion study. So we did I think treat another patient during this previous quarter. We are bringing on some new sites that we expect to add to the study in in Q4, so treating more brain patients but not as many as we would have expected specific to the Glocks trial.
Per Ostlund: Okay, excellent. Thank you for that. Sure.
Operator: Thank you very much. And your next question is coming from David [ph] of JMP Securities. David, your line is live.
Unidentified Analyst: Yeah, that's actually Danny on for Dave, thanks for taking the questions. Just one quick one from me. I was hoping you could just give us some color on the mix between profound AI density and risk for both the one time licenses as well as the subscriptions. And then just any commentary as far as emerging trends in that area would be great. Thank you.
Stacey Stevens: Sure. It's really hard to sort of break out all the detail that Danny because there are about four or five different bundles of products that a customer could buy, both in a perpetual license model and in a subscription. And those carry each have a different price tag. But what we can talk a little bit about is attachment rate, because I think there's some meaningful information to come from that particularly when it comes to attachment rate of our risk product, which historically has been fairly low. Oh, and what we saw in Q3 was that we had about a 40% attachment rate of risk to our perpetual licenses. So that's evidence that we're having more success leading with our bundles of products, our whole portfolio of innovation. And we actually saw a 55% attachment of risk in the subscription models. So we're finding very good luck with positioning the bundles in the subscription model. And the benefit of that, too, is that we're actually getting a higher than expected average selling price or monthly subscription price on the subscriptions, and we initially anticipated.
Unidentified Analyst: Great, that's very helpful. Thank you.
Operator: Thank you very much. There appears to be no further questions in the queue. And I'm going to hand back over to Stacy for any closing remarks.
Stacey Stevens: Thank you, operator. So in summary, I believe we have made strong progress in Q3 towards implementation of a strategic realignment of iCAD, resulting in several significant changes in the way we're doing business that we really expect to generate greater growth potential. I'm enthusiastic about the progress we have made in the transformation of the AI business towards a more partner based long term recurring revenue model that will also accelerate access to our life saving technology to many, many more patients. I look forward to updating you all next quarter as we continue to scale our business, enhance our team and drive towards substantial increase shareholder value. Thank you all and have a great night.
Operator: Thank you, ladies and gentlemen, this does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.